Operator: Good morning, ladies and gentlemen. Welcome to the conference call to report the Fourth Quarter 2021 Financial Results for Telesat. Our speakers today will be Dan Goldberg, President and Chief Executive Officer of Telesat; and Andrew Browne, Chief Financial Officer of Telesat. I would now like to turn the meeting over to Mr. Michael Bolitho, Director of Treasury and Risk Management. Please go ahead, Mr. Bolitho.
Michael Bolitho: Thank you, and good morning. This morning, we filed an annual report on Form 20-F with the SEC. Our remarks today may contain forward-looking statements. There are risks that Telesat's actual results may differ materially from the results contemplated by the forward-looking statements as a result of known and unknown risks, risk factors and uncertainties, which are discussed in Telesat's annual report filed with the SEC on Form 20-F. Telesat assumes no responsibility to update or revise these forward-looking statements. I will now turn the call over to Dan Goldberg, Telesat's President and Chief Executive Officer.
Dan Goldberg: Good. Thanks, Michael, and good morning, everyone. This morning, I'll discuss our fourth quarter and full year financial results and give an update on the business, then hand over to Andrew, who'll speak to the numbers in more detail, and then we'll open the call up to questions. Looking first at the full year numbers and adjusting for foreign exchange rate changes, revenue and adjusted EBITDA were both down 4% relative to the prior year, and our adjusted EBITDA margin remained stable at 79.6%. The revenue and adjusted EBITDA decrease was primarily due to a reduction of service for one of our North American direct-to-home customers, the reduction of nonrenewal of some services in the enterprise segment, including as a result of the full year impact of contract restructurings in 2020 for our mobility customer as a result of COVID-19 and lower consulting revenue as well. The revenue decline was partially offset by an increase in revenue from short-term services provided to another satellite operator in 2021, which didn't occur in 2020 as well as increased services provided to customers in the mobility market as it began to recover from the impact of COVID-19. Looking at our fourth quarter numbers and adjusting for FX, revenue was down 5% relative to Q4 2020. Adjusted EBITDA was down 7%, and our adjusted EBITDA margin was 77.5% versus the 79.5% in Q4 2020. The revenue and adjusted revenue -- I'm sorry, the revenue and adjusted EBITDA reductions were primarily due to lower equipment sales to certain government customers, the reduction or nonrenewal of certain services in the enterprise segment and a reduction of services for one of Telesat's North American direct-to-home customers. Turning to some key metrics. Backlog at the end of 2021, excluding backlog associated with Telesat Lightspeed was $2.1 billion, and fleet utilization was 80%. And looking at how our revenues broke down on an application basis in 2021, broadcast was 51% of total revenue, enterprise services 47% and consulting and other 2%. And on a geographic basis for the year, North America accounted for 83% of revenue; Latin America, 7%; EMEA, 5% and Asia 5% as well. Beyond the numbers, 2021 was an eventful year for Telesat, including becoming publicly traded, clearing the C-band spectrum we've used in the U.S. and receiving payment for the first portion of the $344 million allocated to Telesat in the FCCs C-band clearing proceeding and making substantial progress on Telesat Lightspeed. With respect to Telesat Lightspeed, last year, we announced $1.44 billion and a separate $400 million investment in the program by the government of Canada and the government of Quebec, respectively, which brings to over $4 billion, the amount of financing we've lined up for Lightspeed to date. We also concluded an agreement with the government of Ontario to use Telesat Lightspeed to help bridge the digital divide, which along with our Government of Canada agreement previously announced contributes to the over $750 million contractual backlog we had in place for Telesat Lightspeed at the end of last year, and again, that backlog is incremental to the backlog that I mentioned earlier, where we ended last year. Lastly, we did a huge amount of work with the supply chain for Lightspeed advancing the key technologies underpinning the high-performing satellites and systems that are key to its operation. As we noted last quarter, Thales Alenia Space, who we've been working with on Telesat Lightspeed, informed us late last year that the global supply chain issues out there will delay the construction and in-service date of the Lightspeed constellation. These issues are also putting upward cost pressures on the program. We're working through these issues with Thales now, and we expect to share an updated business plan in the near term with the export credit agencies with whom we've been in discussions to provide financing for the program that will allow us to get those discussions moving again. Although, these supply chain issues have been unwelcome, we remain enthusiastic about the prospects for Telesat Lightspeed and are focused on completing the financing and commencing the full-scale construction of the program in the near term. Before summing up and hand it over to Andrew, I wanted to note that I've spoken to a number of our debt investors over the past few months, including addressing a range of questions about Telesat Lightspeed. Reflected on those discussions, we thought it was important to reiterate a few points on our call here this morning sort of in the affirmative. So, we're all aligned on how we're thinking about the world. First, it's our plan in the main to operate our GEO business and our LEO business, Telesat Lightspeed, as an integrated business, which is to say the same management team, same sales team, technical and operations teams and the same corporate support functions like finance, legal, human resources, IT and alike. The fact that LEO is being financed in a separate credit silo has been solely a function of the borrowing covenants that exist in our current credit facilities, not the fact that we think about it as a separate business. Second, Telesat Canada, our restricted entity owns 100% of the equity of our LEO subsidiary, and we have no plans at this time to move that subsidiary out from under Telesat Canada. And third, we expect our geo activities will continue to generate significant cash, and we intend to use that cash in a way that strengthens the business, which could include paying down current debt and otherwise managing our leverage profile. These are all points that we've made in the past, but we thought it would be useful to reiterate those points given some of the questions we've been hearing from folks. We're going to be presenting at quite a few investor conferences over the course of this year and engaging with the market more broadly on what's happening at Telesat, including our expectations on Telesat Lightspeed, so those will all be good opportunities to continue to drive these points home and share our enthusiasm more broadly about our future prospects. So with that, I'll hand over to Andrew, and then I look to address some questions.
Andrew Browne: Thank you, Dan, and good morning, everyone. I would now like to focus on highlights from this morning's press release and filings. In 2021, Telesat reported revenues of $758 million, adjusted EBITDA of $603 million and generated cash from operations of $296 million and with over $1.4 billion of cash on the balance sheet at year-end. For the full year 2021 compared to the same period in 2020, revenues decreased by $62 million to $758 million. Operating expenses increased by $53 million to $234 million, and adjusted EBITDA decreased by $50 million to $603 million. The adjusted EBITDA margin was 79% or change compared to 2020. Between 2020 and '21, changes in the U.S. dollar exchange rate had a negative impact of $30 million on revenues, the positive impact of $6 million in operating expenses and a negative impact of $25 million on adjusted EBITDA. When adjusted for the changes in foreign exchange rates, revenues decreased by $32 million for 2021 compared to 2020, operating expenses increased by $59 million and adjusted EBITDA decreased by $30 million. Excluding the impact of foreign exchange, the revenue decrease was primarily due to a reduction of service for one of Telesat North American direct-to-home customers and reduction of the nonrenewal of certain services in the Enterprise segment. The revenue decline was partially offset by an increase in revenues associated with short-term services provided to a satellite operator in 2021, which did not occur in 2020 as well as increased services provided to customers in the mobility market as to recover from the impact of COVID-19. The increase in operating expenses was principally due to higher noncash share-based compensation, combined with higher wages due to the hiring of additional employees, all primarily to support Telesat Lightspeed program. This was partially offset by higher capitalized engineering costs. Comparing the fourth quarter of 2021 with the same period in 2020, revenues decreased by $14 million to $187 million, operating expenses increased by $40 million, and adjusted EBITDA decreased by $15 million to $145 million. In other operating gains, we reported $108 million, primarily as a result of the recognition of Phase 1 accelerated clearing payments for the repurposing of U.S. C-band spectrum. The gains and losses on financial instruments reflect changes in the fair values of our interest rate swaps and the prepayment option on our senior and senior secured notes. For the full year of 2021, we recognized a loss of $19 million related to financial instruments. We also recorded a gain on foreign exchange of $20 million for the fourth quarter and a gain of $28 million for the full year. Booking of tax expense for the year was $83 million higher than 2020. In 2020, Telesat was able to recognize a deferred tax asset and significantly reduced its tax expenses, whereas now similar recognition occurred in 2021. And the balance of the increase in 2021 was primarily due to an increase in operating income and decrease in interest expense. For 2021, the cash inflows from operating activities were $296 million and the cash outflows used in investing activities was $273 million. Virtually all of the capital expenditures related to a lower orbit constellation Telesat Lightspeed, offset by the partial receipt of C-band. Turning to guidance. As you will also have noted in our earnings release this morning, providing preliminary 2022 guidance. Our guidance reflects a Canadian dollar to U.S. dollar exchange rate of 1.3. For 2022, Telesat expects its full year revenues to be between $720 million and $740 million. As you're aware, the turnover Anik contract with DISH ends at the end of next month and our guidance reflects a range of potential outcomes surrounding that contract. Also in 2022, we expect to recognize a significant hardware sale and the provision of related services to DARPA, the U.S. government agency under a contract we announced in 2020. While we expect this activity to make a meaningful revenue contribution and the opportunity is considered very valuable and positionally Telesat Lightspeed with government customers, and however, the expenses satiated with this contract is expected to be more or less equivalent to the revenue contribution. Telesat expects its adjusted EBITDA to be between $525 million to $545 million in 2022. In 2022, operating expenses are forecast to increase as a result of the additional cost of sales related to the government opportunity, as mentioned and the ongoing impact of hiring for Telesat Lightspeed program. With respect to capital expenditures, and as Dan noted, we are continuing to work at this time to finalize our financing and contracts with our key suppliers. But now we expect our 2022 cash flows used in investing activities to be in the range of $100 million to $120 million, including capital in to further advance our Lightspeed program. And once we have greater visibility around the construction and financing of our program, we will provide a further update under anticipated capital expenditures for the year, which, of course, could increase substantially. To meet our expected cash requirements for the next 12 months, including interest payments and capital expenditures, we have approximately $1.5 billion of cash and short-term investments at the end of December as well as approximately $200 million of borrowings available under revolving credit facility. Approximately $979 million in cash was held in our unrestricted subsidiaries. In addition, we continue to generate a significant amount of cash from our ongoing operating activities. At the end of the quarter, leverage as calculated on the terms of the amended senior secured credit facilities was 5.7x. Telesat has complied with all the covenants in our credit agreement and in data. A reconciliation between our financial statements and financial covenant calculations is also provided in the report that we had filed this morning. As we have said, Telesat Canada has structured its investments in Lightspeed through unrestricted subsidiaries. Today, Telesat Canada has invested $1.1 billion in cash into these unrestricted subsidiaries to fund the development of our Lightspeed project. You will also note that our Form 20-F now provides condensed consolidated financial information and in particular, the Note 37 of the financial statements, the non-guaranteed subsidiary, shown at the note are essentially the unrestricted subsidiaries with minor differences. So, I can say that concludes our prepared remarks for this call, and now very happy for us to answer any questions, and we'll like to turn back to the operator.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Walter Piecyk from LightShed. Please go ahead.
Walter Piecyk: I think we can all appreciate that it's going to be an integrated offering between the GEO and the LEO to come. But obviously, it's going to be a few years before we see legal revenue. So I would just suggest that to the extent you can break out expenses that are incremental that otherwise wouldn't be there for LEO. Same thing on CapEx, I mean, even the -- I realize that CapEx is going to have to ramp up to the billions, but even on the $100 million to $200 million of CapEx, kind of what incremental in anticipation of a LEO, I think would be helpful to kind of understand what's going in the business, so just maybe kind of thoughts. And on that going forward. And then in terms of the different outcomes for DISH, you said it's embedded within the guidance, but how should we think about this conceptually? Like what what's the worst-case scenario? Is the worst-case scenario even possible? I mean the worst case scenario would require DISH to basically go send people to someone's home. I would think and change the direction of their DISH, which seems unlikely. So can you kind of walk us through conceptually what are some of the possible outcomes there?
Dan Goldberg: Yes. And Walter, and I just want to comment on your thoughts. So we will give a whole lot more insight on CapEx, what's for LEO, what's for GEO, same on the expense side, and I know my finance colleagues can speak to this better than I can. But I know in the filing we made with the SEC today, we've now broken out the -- essentially the financials for the restricted group from the -- financials from the unrestricted group, which is a pretty good proxy for GEO and LEO. So folks have been asking for that for a while, which we always thought was reasonable. So we've done that. But no, we take your point and that's what we plan to talk about the business basically.
Walter Piecyk: So was the reason -- sorry, before you get to my second question, was the reason then for the comments, the prepared comments, to send a message to the debt holders that effectively as LEO grows, that debt will not be stranded with the GEO business at a high leverage ratio. Is that how we cope with that?
Dan Goldberg: I mean what we're trying to say is like chill. I get the same questions from investors like every other day, why do you finance Lightspeed in the separate group? Where are you going to -- and we keep telling everyone. We've got no plans to dividend out Lightspeed. We have no plans to run it as a separate business. We've got no plans like violate our covenants and funneling cash out that we're not allowed to. We keep saying those things, but I don't know. I thought myself. I haven't been sufficiently clear. So we thought we'd be, I don't know, kind of affirmatively emphatic, like that's what it is. And look, we announced I got a good contract with a long-standing customer in Anuvu earlier in the quarter or maybe Anuvu announced it. I'm looking at it, John. Yes, they announced it. We didn't announce it, but they were emphatic. Hey, we did this meaningful deal on Telesat 19V. It's for a bunch of capacity that serves the Caribbean, but we think about it as a bridge to Lightspeed. And for me, I don't know, it's just perfectly reinforces what we've been trying to say to everyone, which is like this just works like doing light speed, it's good for folks in GEO. The fact that we're a current GEO operator is good for our prospects on Lightspeed. So anyway, I'm going to keep making the points. But honestly, I wish I'd get the questions a little bit less. But anyway, that you asked the question, Walter, to why we go out of our way to hammer those points on? It's because we keep getting these questions and some folks have asked us, be explicit. So we're being explicit. I don't know how to be more explicit. Well, there are two official languages. We can do it in French as well, if not help.
Walter Piecyk: Will you talk to equity holders, the focus may turn towards the LEO and the NPV opportunity here for LEO versus…
Dan Goldberg: And that's the other thing I tried to say, which is -- and no, I want to be clear on that, too. We've been bold rightly so. Got to get out there more and tell us what's going on with your Lightspeed plans? And we agree. So we're signed up for more investor conferences than I care to do, but we're doing them anyway. So we're going to be up there a lot. Now we need to finish with our lenders, and I'll talk about that. We need to finish with or contractors on Lightspeed. And then we're going to be able to say more. But look, we posted an investor deck on our website from a non-deal roadshow we did toward the end of last year. We're giving people, I think, some pretty good building blocks so that they can think about light speed. We've said what the TAM is. We've said the of that TAM that we think that we can capture. We told people directionally what the total CapEx is on the constellation. We said what we think our EBITDA contribution margin is going to be. So I'm no financial analysts, but that's a lot, you would think to...
Walter Piecyk: You think of Algebra yes, to come up with the revenue number.
Dan Goldberg: I mean it's not to say we're not going --
Walter Piecyk: Hard for people.
Dan Goldberg: And it's not to say we're not going to give a whole lot more when this thing is nailed down a little bit more, but we've tried to give people some information so that they can start to appreciate candidly, why we are so enthusiastic about Lightspeed. So, any of it, but back to your question, DISH, range of outcomes, I mean, the range of outcomes is they don't renew, they fully renew. Here's what we think right now. And this contract is up in about six weeks' time. So my own feeling is, it's looking like a partial renewal. And this satellite has got about three years of life left on it. It's feeling like a partial renewal. And then -- and we're not done, but that sort of feels like. And -- but even with the partial renewal, I mean, you saw even at the upper ends of our guidance, revenue is still down. The biggest driver of revenue and EBITDA being down this year, if you look at our guidance, it's still the impact of the fact that DISH contract is coming to an end. So it feels right now like we'll get a partial renewal, and we've been busy in the market. Looking to sell the rest of the capacity, and we're feeling pretty good about that right now. And we've always said its attractive capacity. So that's -- yes. And, as Andrew said in his remarks, our guidance kind of embraces those outcomes at kind of the low end of the range. We -- there's no DISH renewal. But -- I don't know, our own guests is to partial renewal and then we'll, I hope, if things go well, have the rest of that capacity under contract, certainly by the end of this year. Look, I mean, I'm sorry, Walter, I just want to -- just that's what it feels like to us right now. So -- but that's our best feel right now for where it's going to land.
Walter Piecyk: Right. And without anything announced with DIRECTV as of yet, it doesn't like anything change those negotiations substantially.
Dan Goldberg: Look, I mean, we've said this before. We're never we never saw a potential DISH-DIRECTV combination as any kind of factor influencing whether they would renew Anik F3 or not. That for us was always about just how important those kind of foreign language broadcast channels, which is a lot of what they do with that satellite, how valuable it is for them to continue with those activities. So no, we don't DIRECTV-DISH combination for us was never going to be a factor for that renewal.
Walter Piecyk: Just one other. OneWeb is in a bit of a rough spot right now. But if there's a scramble for launched locations elsewhere, do you think that potentially has any impact on the timing of Lightspeed or is it really just supply chain with Telesat at this moment?
Dan Goldberg: The latter, we feel like we're good on those sides. The things that have delayed our program, yes, I mean, it's pretty simple. It's the delays that, was shared with us kind of late last year. That's what caused us to have these few months of delay here.
Operator: The next question is from Mike Pace from JPMorgan. Please go ahead.
Mike Pace: Dan, I appreciate the commentary on the structure and ownership unrestricted subs, restricted group, things like that, I guess. But to ask something a little bit more specific, would you expect there to be any requirements in any pending debt documents for LEO funding that would require the ownership structure to remain in place? Or is this just how you want -- how you envision running the two businesses or businesses together or is it both?
Dan Goldberg: Chris, our General Counsel is here. Chris, you're closer to that you want to talk to.
Chris DiFrancesco: Well, I think that we certainly expect covenants with respect to the way that Telesat Canada and the LEO subsidiary are going to deal with each other. For sure, in terms of covenants with respect to ownership, we don't know right now. It's a little bit early. We haven't gotten to that level of detail negotiating with the ECAs and the other lenders. So it's unclear.
Mike Pace: Okay. Appreciate that. And then back to DISH, I realize, look, revenue and EBITDA guidance is ranges of $20 million or so. And it sounds like the majority or all of that is related to DISH. I guess, just to be clear, that's versus the DISH renewals versus there's a $20 million range versus your expectations or a $20 million range or potential $20 million lower from what you were getting in prior periods, just to put a little bit more specifity on that?
Dan Goldberg: I didn't totally follow that, Mike. I can tell you, if there was no DISH renewal, we're still in the range. We built the range to deal with that outcome. Look, we haven't given the biggest range in the world either. It's $20 million. So I mean -- I mean -- but that reinforces, I think, what we've always said about our business, which is so predictable. We've got so much backlog. We know our customers. I mean, for the most part, we can call this stuff even with a big swinger out there like the DISH renewal, we still feel confident about giving a guidance range that's as narrow as it is. So to be clear, I'll try to be clear. If there is no DISH renewal, then we're still within the range, yes, more at the bottom end. So yes, I hope that answers your question.
Mike Pace: Yes. No, it kind of does, but just to add a little bit to it, is that -- like if there was no DISH renewal, is that because you can repurposed the satellite for other uses? And can you repurpose that satellite for enterprise, I guess, as well? I forget which of the DISH satellites are [Multiple Speakers]?
Dan Goldberg: Yes. No, the entire satellite can be repurposed for other applications. It's a good Ku-band satellite with great coverage over kind of North America, good coverage over the Caribbean. So yes, no, and we've talked about this before. It's what has always made a deal. We'd like a Dish renewal, but we've always felt confident that if we didn't get one, that there'd be, yes, meaningful demand for the capacity. Now it might take us a little bit more time to fill it up, and there's rates and all of that. But yes, yes, we always felt comfortable. And if we end up with a partial renewal, then we'll be getting, obviously, some capacity back because it's only a partial renewal. And we're bullish about our ability to resell that capacity and reasonably timely too.
Mike Pace: But Anik F3 could be used for enterprise services, not just DTH services?
Dan Goldberg: Yes, 100%.
Mike Pace: Got it. And then -- I'm sorry. And then just to ask a little bit more from a prior question and this is something we get quite often is -- and I haven't had time to read through the entire 20-F yet this morning. But just getting back to what the LEO EBITDA drag was in 2021 and rounding is encouraged here. Can you just help us out? I mean I see an OpEx number for non-guarantor subs. Is that basically the number? And then within -- embedded within the guidance also for 2022, can you help us understand what type of LEO EBITDA drag is incorporated into that?
Dan Goldberg: Yes. I'll let Andrew talk about it. I mean, just to be clear, we don't think about it as a drag. We think about it as smart investments in our future growth, which we think benefit all of our stakeholders. But anyway, Michael Bolitho, do you want to...
Michael Bolitho: Okay. So yes, Mike. So in the non-guarantor note, substantially the operating expenses are the LEO subsidiaries. The incremental drag on that is we sort of think it's about adjusted EBITDA is down at the midpoint in our guidance about $75 million, and of that $75 million, the additional LEO drag would be on the order of 15% of that of that.
Dan Goldberg: Yes. Let's not do this drag thing. Don't buy any of Mike's...
Michael Bolitho: Yes. We are spending for our future.
Dan Goldberg: Yes, we are investing. I mean, we understand why you're asking the question, but just for everyone's benefit, like, yes, we our money pretty carefully. We don't invest it in, we hope, in a dumb way. So anyway, but we think your point.
Mike Pace: Dan, fair enough from that one I'll say, LEO investment. How about that? Got it. Sorry, just one more quick one. It might not be easy for you. But I guess, as it relates to the Thales agreement, right, there's supply chain timing issues? And then you talked about potential incremental cost. Can you -- is there a way to quantify -- I guess you have two choices, right? Paying more for the same constellation or make the existing project or constellation a little bit smaller and then maybe spend similar amounts. So can you quantify the potential increase in cost on the same constellation? And then if you have to do something on a little bit on the smaller scale side of things, what are the implications there for the business plan and revenue and things like that?
Dan Goldberg: Yes. No, that's a great question. And if you when you work through the 20-F, which is voluminous, yes, that's kind of how we lay it out, which is, yes, it's a tube of toothpaste, you either if costs are going up, and we are hearing from Thales that there are cost pressures like the supply chain. I mean, you see it everywhere, but there are supply chain issues which are causing delays and there are inflationary pressures just across the entire economy right now, and we're getting bitten by kind of both of those things right now. And that's exactly how we kind of frame it in the 20-F, which is -- it means if we still are focused on launching, we've talked about Lightspeed is 298 satellites and the costs are going up, then we either need to raise more money or we need to descope the constellation and bring CapEx down. So it fits within the same spending envelope that we had before those cost pressures emerged. But -- so you framed it exactly right. That's how we talk about it in the 20-F. And yet, it's still way bit too early for us to say like which direction we're going to go here. But I will note, we've got a lot of scope if we want to, to kind of downsize the number of satellites. We -- the Lightspeed with 298 satellites is -- provides 15 terabytes of capacity and is kind of all singing and all dancing and is an immensely advanced and powerful constellation. But I know it was also the case that we were launching first -- our launch cadence was kind of -- we're first putting up 78 satellites in Polar, and then we're putting up another 110 satellites inclined orbits, they're more equatorial orbit. And then we're going to supplement that the 188 satellites combined. Then we're going to supplement it with another 110, I guess, to make the math right, to get to 298. But it was our plan once the polar in those first in client satellites were up, so that's the 188, we are going to have global coverage with those 188 satellites, we're going to already start turning on the customers, including all these government of Canada customers and start generating revenue and EBITDA and the like. And then the next 110 were going to come. So all to say that, even with 100 less satellites, for instance, we still have terabytes and terabytes of capacity in a very capable global constellation that that we feel good about. So anyway, what we're thinking about which way we go right now and just sitting here on Friday, March 18, we'd just rather not put a pin in it right now. I do think that by the end of next quarter, so end of June, we'll have a real good sense for what's the constellation going to look like, where we are, I think, with the ECAs and we're going to be able to yes, be much more definitive about that. So anyway, but that's the right question to ask. And yes, and that's how we're thinking about it right now.
Operator: Thank you. The next question is from Arun Seshadri from Credit Suisse. Please go ahead.
Arun Seshadri: Just going back to us for a second on the Thales question. I think you said before that by early February, we were supposed to hear a more sort of exact time line from them updating you from sort of the general guidance they gave you late last year. Did that specifically happen? Or are you still waiting? I guess that's the first question. And secondly, what has changed from -- in your communication with them, I guess, from late last year to today, maybe even qualitatively, if you provide us, and obviously, we understand that the supply chain issues and specifically, but qualitatively, what materially has changed relative to your fund plan and sort of the details related to that?
Dan Goldberg: Yes. No, so things, I would say, are unfolding kind of like we expected, which is to say we have heard from Thales. And I think we've got -- so on schedule, it's more or less coming in like we had sort of indicated before, it feels like in terms of when we'll enter kind of global commercial service. It feels like we're going to be about a year late. We thought we were going to be -- before we hit these supply chain issues 2025 for global service, it now feels like we're a year behind that. So it feels like 2026, I think, will be -- if things unfold the way we think they will right now, we'll be launching in 2025 and entering service in 2026. It's not what we wanted, but that's what that feels like right now. I will say -- we're not the only guys getting delayed right now. When I look at -- and we're getting delayed in part for the same issues, supply chain issues, I've heard at least one other LEO constellation is backed up because of supply chain issues. Other LEO constellations, they've moved to the right just because they've moved to the right. And in OneWeb case, they've now got this launch issue, which I'm sure is going to be kind of schedule impacting for them in terms of when they can enter service. So anyway, so we have heard from Thales. I mean, we speak to Thales like 20 times a week, it feels like. And so that's what it feels like from a schedule perspective. And from a cost perspective, we've got I would say something that's preliminary right now, but we're expecting to get something more definitive from them. We're hoping by the end of next month. And so yes, the pace of communications and the patient which we're receiving information, yes, it's kind of consistent with the time line that we had talked about before.
Arun Seshadri: Great. That's helpful, Dan. And then as far as the second question I had was more in terms of you've got obviously some cash in the restricted sub, in the GEO sub right now, debt that trades at extremely discounted levels. And you have basically cash that sounds like you're still relatively confident in getting the LEO project in totality fully funded? So I guess the -- two questions come up. One, what is preventing you from reducing debt by buying debt back at a discount and actually making the debt structure thereby more sustainable on the GEO side? And second, do you -- related to that, do you think the shortfall in your funding capability is so large that it freezes you from doing anything opportunistic to reduce your debt balances?
Dan Goldberg: Well, I'll start with the second question, which is no. And look, I mean, we know that we're subject to a whole range of covenants. It precludes our ability to a point to move money from the restricted group to the unrestricted group. So we know that we're going to have cash building up there. All to say, even if we needed to find other money more financing for Lightspeed we can only do so much. You guys probably know it better than I do in terms of what can come out of the restricted subs. So no, I think we're going to be generating a lot of cash in GEO. It's going to be building up in the restricted group. And so I don't think that we're going to be constrained in terms of our ability if we think it's the right thing to do to reduce debt over time. So that's the second question. The first question, what stopped us from doing it today? I mean, you can't be in the market buying your debt or securities if you've got looking at our General Counsel, material nonpublic information. And so until we put out our numbers and gave our guidance and whatnot, we were precluded from being in the market buying that debt, which we also see as trading at levels that look kind of crazy low to us. And so, yes, that's what had precluded us. And for sure, could be a very attractive, accretive opportunity for Telesat to use some of that cash that is in the restricted group to take advantage of what might be an attractive opportunity in the market.
Arun Seshadri: Got it. And to your point, is the -- I think in prior years, you haven't given point guidance necessarily. So the fact that you sort of hinting that giving point guidance and sort of encapsulating DISH there could be related to that to what you just said, right?
Dan Goldberg: I don't -- I'm not familiar with the term point guidance. I mean we -- because our equity wasn't public, the only guidance we ever gave was CapEx guidance, but I think we were always clear once the equity became public, like other publicly traded companies, it's not our favorite thing to do, but we felt like we had to give some guidance on revenue, adjusted EBITDA and CapEx. So that's why we did that.
Operator: Thank you. The next question is from Harry Woo from Ares. Please go ahead.
Harry Woo: I guess a couple just questions on the forecast. Can you just quantify how much of that revenue in 2022 is coming from the government contract you talked about?
Dan Goldberg: Yes, easily. We actually is -- we issued a press release announcing -- so the government contract that we refer to and we think it's a great contract for Telesat, I mean it's not very accretive from a cash flow perspective. But we want an opportunity back in kind of late 2020 where we're building two satellites for DARPA. It stands for Defense Advanced Research Projects Agency. It's basically the Pentagon's internal research group. So we announced that we're building two satellites for them, LEO that have inter-satellite links, optical links so that we can demonstrate and they can start getting comfortable with optical inter-satellite links, which is a key feature of the Telesat Lightspeed constellation. So anyway, we announced that back on October 14, 2020, and said that I'm looking at this press release now, the these two, these contract represents an $18.3 million program, that's a U.S. dollar number. So yes, I mean, we've been vastly more specific. I think we were required to disclose this. I think that's part of U.S. Government requirements when you win a contract like this, you have to tell everyone kind of what you're getting paid. So it's a good contract for us. As far as I know, it's coming along well. I think we're doing what we need to do. We're excited to get those satellites up there and start demonstrating the power of optical inter-satellite links. But to win that contract, yes, we did it aggressively. And so we don't think we're going to lose money. We hope we'll make a little bit of money. But it's -- there's a revenue contribution, but there's almost equal expense associated with it. So it's kind of margin dilutive. And when you go back and you look at, gee, I forget what the numbers are, at the midpoint of our guidance, revenue is down by x percent, but at the midpoint of our adjusted EBITDA guidance, adjusted EBITDA is down even more. I think part of that's because we're a fixed-cost base business. And for -- like when we lose money on the DISH renewal, yes, I mean, that's almost dollar-to-dollar at the EBITDA line. So you expect to have a bigger impact in terms of percentage of decline in EBITDA, but another big, big contributor to the margin erosion and whatnot that we're expecting for this year. It's that U.S. Government contract. Great to have $18 million of top line contribution, but we're getting that in expense as well.
Harry Woo: Then my second question is just can you just quantify the DISH revenue from Anik F2 in 2021, just so we have a sense of what the range of outcomes?
Dan Goldberg: Yes. We've given at the high level, we've said like for these DTH contracts that we have, I'm not necessarily talking about DISH, that three in particular, although kind of fits the mold. I think, Michael, we've said order of magnitude, guys, CAD70 million kind of top line with almost all of that going to EBITDA. So that'll get you pretty close to what we would have recognized in 2021 and what the run rate will be for the first part of this year, right, because that contract doesn't come up until the end of next month, right.
Harry Woo: And then I guess, my next question is just on the CapEx side of it, right? You guys bumped up the satellite program purchases on the LEO side, pretty material this quarter. I think it was $180 million in the quarter. What was that related to? And is that kind of included in the overall CapEx plans? Or is that -- because obviously, you guys haven't started with tollers or any of these other contractors. Just curious if that's part of like the overall $5 billion spend that is going to increase? So just -- could you just talk about that spend this quarter?
Dan Goldberg: I just want to be clear, when you're talking about this quarter, you mean Q4?
Harry Woo: Yes. In Q4, it looked like purchases for satellite...
Dan Goldberg: Yes. No. I mean I'll give Mike shall on what that was at Andrew. But it was a big prepayment for lunch. And so yes, it's absolutely a part of that overall $5 billion CapEx number that we've talked about before.
Harry Woo: Yes. Perfect. Okay. And then last question, I'll just follow up on Arun's question. So you guys mentioned, obviously, the restrictions around MPI and not being been to market to buy bonds at such discounts -- now that numbers are out, are there restrictions in terms of the credit docks or anything else that would restrict you from buying response at $0.50 on the dollar?
Dan Goldberg: No, no. My understanding is if we buy that, we need to cancel it. Correct. Yes. But no, we're at liberty to do that if we think that's a good idea.
Operator: Thank you. The next question is from Michael McCaffery from Shenkman Capital. Please go ahead.
Michael McCaffery: Maybe I could just follow up on Harry's question. I guess, given your prior comment, Dan, that you think the debt levels are at -- I forget your exact adjective, but you said that they were crazy levels and the comments you've led the conference call with as far as bondholders, not understanding the story or I believe or not listening to comments you've made before. I guess why would you not you said if it makes sense, you'd be looking to buy bonds back at these current discounts. I guess why would you not? Is there some reason to keep as much cash in the restricted group as you do right now and not take advantage of these current levels?
Dan Goldberg: How would I answer that? I don't know, Mike, I guess we just say that, right, probably not obvious that we'd be explicitly telegraphing everyone in the market exactly what we're going to do. We're not in the business of, I mean, our day job is running a satellite company, not being out in the market buying securities. But when we talk to people whose day job is being out in the market buying securities, usually, they're not like advertising what their next move is going to be. So I don't know it just doesn't seem obvious to us right now that we need to be super explicit about whether we go left or we go right. But no, I mean, we have cash that's building up. It's not lost on us that there could be an attractive opportunity there. But yes, that's just kind of how we think about it.
Michael McCaffery: And just one follow-up to that. Is there any -- as you're finalizing discussions with the export credit agencies, does that play in -- does that put any restrictions on using cash on hand or doing anything as it relates to the bond levels? And I guess related to that, has the deterioration in your bond levels at the restricted group, has that caused any additional hurdles as it relates to finalizing the export credit financing?
Dan Goldberg: So I would say no. There's certainly nothing about our discussions with the ECAs that would constrain our ability to make use of cash in the restricted group to do any range of things including repurchasing our debt. And then, no, I don't think that where our debt is trading, the ECA lenders will be solely collateralized into Telesat Lightspeed. But as we've said before, we don't like where the debt is trading. I mean we think that sends messages about Telesat that, yes, that don't align with reality, right? You see debt trading at those kinds of levels, and you think the Company is under some extraordinary financial duress, and it's certainly not how we're thinking about it. You look at our -- how the business is sold up, if you look at the cash flows, you look at the predictability of our revenues. Yes, we don't get it. So it might not chill or undermine and I don't think it will, the outcome of our discussions with the ECAs, but we still don't -- it doesn't mean also who cares. We don't like it. And so, -- but I don't -- but to answer your question, no, we don't think that where the restricted debt trades is going to have a bad collateral impact on getting there with the export credit agencies.
Michael Bolitho: Operator, we have time for one quick question and then we need to wrap up.
Operator: Certainly, the last question will be from Tim Daggett from RBC. Please go ahead.
Tim Daggett: So I believe in the covenants, there's on the revolver if it's 35% drawn and the covenants come into play, is there any plan or a reason to have to draw on that revolver in this would be about $70 million? So is there any plan to draw on that and then the covenants would potentially kick in?
Michael Bolitho: Based on what we know at the moment, no.
Dan Goldberg: All right. Well, listen, we appreciate everyone's time this morning, and we look forward to chatting again when we issue our first quarter numbers. So thank you very much.
Andrew Browne: Thank you. Bye-bye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.